Operator: Good morning, and welcome to the Torex Gold's Third Quarter 2024 Conference Call and Webcast. [Operator Instructions] Please note, that this event is being recorded. I will now pass the call over to Dan Rollins, Senior Vice President, Corporate Development and Investor Relations. Please go ahead.
Dan Rollins : Thank you, operator, and good morning, everyone. On behalf of the Torex team, welcome to our Q3 2024 conference call. Before we begin, I wish to inform listeners that a presentation accompanying today's conference call can be found under the Investors section of our website at www.torexgold.com. I would also like to note that certain statements to be made today by the management team may contain forward-looking information. As such, please refer to the detailed cautionary notes on the Page 2 of today's presentation as well as those included in the Q3 2024 MD&A. On the call today, we have Jody Kuzenko, President and CEO; Andrew Snowden, CFO; as well as Dave Stefanuto, Executive Vice President, Technical Services and Capital Projects. Following the presentation, Jody, Andrew and Dave will be available for the question-and-answer period. This conference call is being webcast and will be available for replay on our website. Last night's press release and the accompanying financial statements and MD&A are posted on our website and have also been filed on SEDAR+. Note that all amounts mentioned in this call are U.S. dollars unless otherwise stated. I'll now turn the call over to Jody.
Jody Kuzenko : Thank you, Dan, and good morning to all on the line. Q3 was another consistent quarter of strong operational results, backed by yet another record quarterly average realized gold price, which in turn fueled record revenue. We are solidly placed to deliver production guidance for the sixth year in a row. Costs are trending downwards quarter-over-quarter as expected, yet still tracking to be at the top end of guidance for the year, primarily due to higher royalties and profit sharing that come along with the strong gold price. Our liquidity position has not changed quarter-over-quarter. This is notable. This is a result of the strong cash flow from ELG essentially funding the entirety of the $114 million of capital that was spent through the quarter on Media Luna. This is a testament to the free cash flow and capability of the asset that further bolsters our expectation that we will return to positive free cash flow by mid next year. Starting with an update across our strategic pillars, which are shown here on Slide 4. As you will have seen in the update last week, the Media Luna project is now 87% complete across engineering, procurement, underground development and construction, and surface construction. We announced that we reschedule the tie-in period to February 2025, given the timing of the delivery of the switchgear and our associated state of readiness to take the tie-in period. While we all want the project done, the overriding business priority has always been to keep the tie-in period to no longer than 4 weeks. Whether it happened in Q4, Q1 was much less of a concern given the contingency production buffer we developed with the open pit pushback. The revised tie-in schedule will boost production in 2024 and support derisking the commissioning period by allowing us to test key process equipment like the VFD ball mill motors ahead of the tie-in period during our regularly scheduled December maintenance period at the plant. This also comes with a further benefit of potentially reducing the tie-in period to less than 4 weeks and allows us to continue to build stockpiles ahead of commissioning, given the rescheduling has no impact on mine production from Media Luna. Dave, when he gets into his commentary, will provide more details on the project. On the next pillar of our strategy of integrate and optimize Morelos, we released the results of an internal pre-feasibility study on EPO in September, which, on the reserve case alone, demonstrates the ability to maintain annual gold equivalent production of at least 450,000 ounces through 2030, with a scenario taking into account potential resource conversion, indicating a clear potential to maintain this run rate through at least 2033. Our goal was to fill the mill for 10 years, and we're getting very, very close. On disciplined growth and capital allocation, due to the strong margins and ongoing cash flow from ELG, funding for the Media Luna build is well in hand, and we have more than ample liquidity to finance the remainder of the build and support our strategic objective of maintaining $100 million of cash on the balance sheet. Andrew will provide more detail on our financial position shortly. On grow reserves and resources, drilling activity has picked up since the first half of the year, and we expect to have several press releases out over the next couple of months discussing the results of this drilling at both EPO and ELG underground. On talent, recruitment of personnel for Media Luna is progressing well with 55% of our Media Luna workforce transferred from previous ELG operations. The transition training program now stands at 40% complete and will ramp up even further as open pit production continues to wind down. And finally, on ESG, although it occurred after quarter end, I want to use this call to acknowledge our team at site for being awarded the Silver Hard Hat from the Mexico Mining Chamber for the safest mine in Mexico in 2023 in the category of Open Pit Mining with more than 500 workers. This award speaks to the world-class safety culture we've built at Torex. For me and my entire executive team, there's nothing more important than the safety of our employees and contractors, and a heartfelt congratulations goes out to the entire team in Mexico for this accomplishment. Turning to specific quarter highlights on Slide 5, with production of 119,000 ounces in the quarter and nearly 350,000 ounces year-to-date, we're well on pace to achieve the new annual guidance. Cash costs of $926 per ounce and all-in sustaining costs of just over $1,100 per ounce are both down by approximately $100 per ounce compared to the prior quarter, driven by slightly higher process grades and the lower strip ratio at the open pits, partially offset by further gains in the gold price as well as ongoing elevated cyanide consumption. While the gold price has put pressure on royalties and profit sharing, the record gold price has allowed us to generate robust margins, and that plus our cost discipline has given us an AISC margin of 52% during quarter 3. Record quarterly revenue of $314 million helped drive robust EBITDA and cash flow, placing us on solid financial footing to finish Media Luna with only a modest level of net debt, which we will repay quickly next year as we return to strong free cash flow by the middle of the year. Over to Slide 6. This just speaks to the operational consistency at ELG. Production this quarter was delivered by slightly higher grades and recoveries in quarter 2. The top right chart clearly illustrates the reliability of the mill, which had yet another quarter of processing in the 13,000 tonnes per day range. The bottom left chart shows the gradual increase in grades we've seen quarter-over-quarter this year, while the bottom right chart demonstrates that ELG underground mining rates are delivering the expected steady state of 2,000 tonnes per day. Moving to Slide 7. This is just a snapshot of how we're tracking against our annual guidance. Our 2024 guidance remains intact with the exception of the increase to annual production guidance because of that 4 weeks of additional production with the tie-in period rescheduled. Gold-only production guidance has been increased to 450,000 to 470,000 ounces compared to the previous guidance of 400,000 to 450,000. As noted earlier, we expect to end the year at the upper end of the guided range on total cash costs and all-in sustaining costs. And I'll turn the call over to Andrew, who can give more details on that.
Andrew Snowden : Okay. Thank you, Jody, and good morning, everyone. I'll start by just summarizing our financial highlights you can see shown on Slide 9. And Q3 was really an exceptional financial quarter for Torex. Our discipline on cost containment achieved an all-in sustaining cost of about $1,100 an ounce. And when combined with the record gold prices, produced an all-in sustaining cost margin of 52% during the quarter, and that's up from 44% achieved in Q2. With this strong cost performance in Q3, as Jody touched on earlier, we continue to track at the top end of our cost guidance for the year. And as I noted on our last call, the price of gold, although, of course, a positive for us in supporting margin expansion, the gold price also increases our cost base through higher royalties and PTU, or profit sharing requirement. With the realized gold price being about $2,200 an ounce through the first 9 months of the year compared with the $1,900 an ounce assumed in our guidance, we have seen this cost pressure year-to-date. Recall for every $100 an ounce move in the gold price, by-product cash costs and all-in sustaining costs are impacted by about $12 an ounce, all else being equal. $3 of that is due to royalties and the remainder due to the profit sharing. Offsetting this cost pressure from the higher gold price, though, is the relief we have finally seen from the peso, which is now trading around [20:1 USD], and that compares to our budget of about 18:1. Year-to-date, the peso is now almost in line with the budget at $17.7, and this has offset some of the cost pressure we saw earlier on in the year. On capital, spend on the Media Luna project was about $115 million in the quarter and is expected to decline in Q4 and then again in Q1 as the project enters the final months of construction. As the tie-ins for the processing plant will now be taken in February and, therefore, pushing out the declaration of commercial production, certain capital expenditures primarily related to accelerated underground development will now be classified as nonsustaining for the pre-commercial production period versus sustaining at the prior plant time schedule be maintained. Outside of this really reclassification, we expect the capital impact for the new schedule to be immaterial, and Dave's team is working diligently to find any offsets required. Finally, on overall free cash flow, as Jody highlighted earlier, you would have seen that strong cash flow generation from our operations fully offset Media Luna capital this quarter, resulting in available liquidity remaining consistent quarter-over-quarter, really a sign of things to come and the free cash flow generation ability of our operation, particularly if gold prices hold at these current levels. Turning next to Slide 10. I'll speak briefly just about our unit cost performance year-to-date, which you can see on this slide is compared to our full year 2023 performance. Firstly, on open pit costs. As our open pits start to wind down here in the coming months, maintenance costs have increased as we extend the life of the aged fleet to avoid costlier capital replacements. We're also seeing less efficiencies as we get down to the final benches. And additionally, as our open pit miners transition to the Media Luna underground mine, we are backfilling these positions with contractors, which does result in a marginally higher cost. Next, on underground mining costs. The costs we've seen here in 2024 to date reflect additional backfill requirements and underground development year-to-date. We see the potential to reduce costs going forward, though, as we start mining a portion of ELG underground through long haul, although the majority of the ELG underground mining will continue to be cut and fill. Processing costs, the change there compared to prior year is really just driven by the higher levels of cyanide consumption seen, reflecting the high levels of copper and iron in the open pit ore as it reaches the end of its mine life. And currently, we have less flexibility on the blending of that material. Next, on site support costs. These are generally in line with 2023 with the increase to date, driven primarily with the strength of the peso we saw through the first half of the year. And finally, you can see the impact of the higher gold prices have had on our Mexican profit sharing year-to-date in the bottom chart, and this will expand further in Q4 if current gold prices continue. Before I move off costs, though, I'm sure there is some interest for those on the line in directionally what to expect on costs in 2025. Now I have been flagging for some time that 2025 costs will be temporarily elevated due to the Media Luna ramp-up, and I talk to an estimate of about $1,350 an ounce. Just to highlight, that estimate was based on the 4-week Media Luna plant tie-in having occurred this current quarter through Q4 2024. And so rescheduling this to the first quarter of next year will lower production and increase costs in 2025. In addition, our plans were built on an assumed gold price of $1,900 an ounce. And so, as I referenced earlier, the higher gold price environment we are operating in does have an impact on our costs, albeit with good margin expansion. Back now to, I suppose, Q3 2024 and turning now to Slide 11. Our cash balance once again remained above our strategic objective of $100 million and closing the quarter at about $115 million. This benefited quarter-over-quarter just given the strong earnings in Q3. Given the cash flow generation of our underlying operations, we only drew an additional $5 million on the revolving credit facility during the quarter, and we closed the quarter with about $60 million drawn on that facility. While on cash flow, I do want to again just turn to 2025 and remind everyone of our cash flow seasonality as we approach the new year, and that's shown here on Slide 12. With the strong gold prices, cash flow seasonality will be more amplified than it has been in recent years. And so I'll walk through my current expectations here. Firstly, on our monthly tax installment payments, and these will continue in the region of about $20 million a quarter through at least Q1 of 2025. I expect these will increase from April of next year as monthly payments are based off the prior year's taxable income, and that installment rate is reset once we file our Mexican tax returns in March. There's also a true-up of our monthly income tax installments to our final tax return, and that's settled each March. And I currently expect that will be approximately $40 million, and that will be payable March 2025 and it's higher than the prior year, just given the stronger profitability with the higher gold price. Next, the annual 7.5% mining tax. This is accrued through the year, but that's also just paid annually in March of each year. And so March 2025, I expect this will be roughly $40 million, again, higher than prior years just with the metal price strength. Additionally, there's the 0.5% royalty, which was related to the proceeds from gold and silver sales. This is also accrued monthly paid out annually in Q1, and I expect that Q1 payment to be about $5 million. And finally, there's the Mexican profit sharing payment, or PTU, again, accrued monthly, that's paid out in May of each year. And I currently expect that the amount for the 2024 year to be paid in May 2025 will be in the range of $30 million to $35 million. I'll just note that these values are all my current estimates, and we'll provide an update with our Q4 results. And also, just while we're on seasonality, just to point out, this is all again in the context of softer production plan for Q1 with the Media Luna plant tie-in expected through February. Turning next to Slide 13. You can see our balance sheet and liquidity position shown here at September 30, where we ended the quarter with $347 million of available liquidity, which is unchanged from Q2 despite the significant Media Luna spend in the quarter. This $347 million in available liquidity consists of $115 million I mentioned earlier in cash, as well as $232 million available on the revolving credit facility. That revolving credit facility availability is after the $60 million that's been drawn and another $8 million utilized through letters of credit. Our current consensus metal prices, we now expect to only draw between $125 million and $150 million on the revolver through the build with a maximum draw expected to occur in Q1 of next year. This forecast includes maintaining $100 million of cash on the balance sheet. And so you should see us exit the build period or exit Q1 with -- between $25 million and $50 million of net debt if you're excluding leases. This liquidity position is shown again here on Slide 14, and this time, just a comparison against the needs of the business. Our $347 million of available liquidity compares very favorably against the $111 million left to spend on Media Luna and our $100 million minimum liquidity strategic objective. After taking these into account, we're left with a funding buffer of $136 million, and that's improved quarter-over-quarter despite the spend on Media Luna in Q3. The gold bar on the right here also shows our free cash flow over the last 12 months before spending on the Media Luna project, sitting impressively at $336 million, and that's based on an average realized gold price of about $2,100 an ounce. With funding comfortably in hand, the focus is now on the cash flow generating capability of the business as spending on Media Luna draws to an end, and we look to the next chapter at Morelos. Finally, I'll speak briefly to our hedging position shown on Slide 15. With Media Luna close to the finish line, Q4 does mark the final quarter of hedged gold production. We only have about 27,000 ounces of forward contracts settled through Q4, and there's no gold forwards left in 2025 and no plans to add commodity hedges going forward. We will, however, continue to look at prudent ways to manage the current volatility in the Mexican peso and have added some additional collars for 2025 to support our peso-denominated operating costs. About $84 million of our 2025 operating costs are now hedged through 0 cost collars, and you can see the detail of that on this slide. And so with that, I'll turn the call over to Dave.
Dave Stefanuto: Thank you, Andrew, and good morning to everyone. I'll start the project update on Slide 17. Jody has spoken to the executive team's thought process behind rescheduling the tie-ins to the processing plant and its impact to the overall business. In terms of what this specifically means for the project, we now have a window of opportunity for our project team to conduct advanced testing on key plant systems. This should ensure a smoother tie-in process. Additionally, we planned to utilize the maintenance period for mill liner changes in December to test the ball mill VFD systems, derisking the mill restart and potentially reducing the overall schedule to less than 4 weeks. The new schedule also ensures that all surface and electrical infrastructure will be installed well ahead of the tie-in period, setting us up to achieve first concentrate production in Q1 and commercial production shortly thereafter. Importantly, the processing plant tie-in is separate from the ramp-up of the Media Luna mine itself. This means that the new schedule will have no impact on ore production from Media Luna, which will be stockpiled ahead of wet commissioning of the mill. Production from ELG underground and the open pits will continue unabated. The overall project sits at 87% complete, with engineering now complete, procurement at final deliveries, underground development and construction and surface construction at 77% and 70%, respectively. Teams have made significant progress on definition drilling with all drilling for 2024 complete and a head start underway on 2025 drilling. Initial tonnes and grade to date are reconciling well to the block model with some spatial variation, which is to be expected with the new mine. Importantly, our workforce recruitment and training is progressing well and operational readiness activities are tracking to plan in preparation of handover of the balance of the surface assets to operations. As noted in our press release last week, underground development rates have been strong with monthly lateral development rates in excess of 1,300 meters over the last few months, including over 1,400 meters in October relative to the original budget of 1,200 meters per month. We plan to continue our aggressive definition drilling and underground development programs in 2025 with the target of having all stopes in the 2026 mine plan drilled off by the end of the year -- the end of next year. Turning to Slide 17, shows the significant progress that has been made on the surface infrastructure at site. Both e-houses have been installed in the flotation area, which you can see in the top left image are the white rectangles on the left-hand side near the dome. The top right image shows work progressing at the water treatment plant where detoxification tanks were installed during the quarter and pre-commissioning has begun. The 230-kilovolt substation shown on the bottom left is substantially complete and the transmission line between that and the 230 kV switchyard is now in place with connection to the switchyard expected to be made later this quarter. On the south side of the Balsas River, the paste plant construction is coming along nicely, which you can see in the bottom right picture. Despite the timing for the new processing plant tie-ins, the project is progressing nicely. Some of the key risks that we communicated previously related to steel and electrical equipment deliveries have been mitigated as we now focus on final installation and commissioning. I'm proud of the work the team has done at site to keep our construction schedule intact. With that, I'll pass the call back over to Jody.
Jody Kuzenko : Thanks, Dave. Really nice to have everything we need at site to finish the project. Before I ask the operator to open up the call for questions, I wanted to touch on one last achievement from the quarter set out here on Slide 20. The EPO pre-feasibility study represents years of hard work from both our exploration and technical teams, and the results of that were shared with the market in September. EPO sits pretty close to Media Luna infrastructure and the deposit will be accessed through a 650-meter access ramp off the Guajes tunnel. In total, only about 2,200 meters of initial development are required to be built for the project. Because it will utilize existing Media Luna infrastructure capital costs, and these are estimated at the PFS level now, they're a lean $82 million. We plan to begin spending modestly on the project next year following the completion of a feasibility study by midyear, with investment increasing in 2026 before first production expected by the end of that year from EPO. In September, we reported the inaugural reserve for EPO at 781,000 gold equivalent ounces at over 4.8 gram a tonne gold equivalent. An important point to note here is that there are over 1.1 million ounces in gold equivalent and M&I there. So we see lots of future upside as we move forward with EPO. Now Slide 21 speaks to this future upside. Recall that the 2022 technical report, we faced a production dip in 2028 that we knew we needed to address. It was the next new challenge, and it can be seen here on the gold line on this slide. EPO, combined with the success we've had replacing reserves and extending mine life at ELG underground, has really addressed that concern, providing us with steady-state production of between 450,000 and 500,000 ounces of gold equivalent through 2030. Now with a solid foundation set over the next several years, our attention is turning to the future, which is shown here on Slide 22 as the resource scenario. As I mentioned, there are over 700,000 ounces of inferred resources at EPO. By combining that with the resource growth and reserve replacement we've seen at ELG underground, we believe we have the ability to maintain our production profile of 450,000 to 500,000 gold equivalent ounces through at least 2033 once enough drilling has been completed to upgrade these resources to reserve and bring them into the mine plan. Drilling is also ongoing to expand resources at both EPO and ELG underground, and we're seeing some exciting results, and you can stay tuned for those in the coming weeks as we issue some press releases on that. This really is just the tip of the iceberg that we see for prospectivity on the south side at the Morelos property with a solid foundation now laid, you can expect to see our exploration budget increase next year as our teams turn their attention from shoring up near-term production to paving the pathway for mining at Morelos for decades to come. With that, I'd like to ask the operator to open up the call for questions.
Operator: [Operator Instructions] And our first question today comes from Don DeMarco with National Bank Financial.
Don DeMarco : Congratulations on a strong quarter. First question, could you elaborate on how the tie-in deferral to February might shorten the time required to complete the tie-in?
Dave Stefanuto: Don, this is Dave Stefanuto here. Yes, 2 things. One, we're going to take advantage of a planned shutdown period that we have for maintenance in December. So during that planned shutdown period, we're actually going to install the ball mill motors and test the VFD set points in advance of the tie-in period. If we had done the tie-in in Q4, we would not have had the opportunity to do that in advance. What that will do is, that will really help stabilize our ball mill ramp-up as we put it under load, and that will have the potential to shorten the shutdown by maybe days.
Don DeMarco: Okay. Okay. Great. And so, next question then, what are the implications on 2025 production by doing the tie-in in February? Like obviously, you're going to lose approximately 4 weeks of production. But are there other impacts from an associated delay in the production ramp-up? I mean I understand there's no impact on mining. And then just following up to this, is the positive free cash flow still on track for midyear?
Jody Kuzenko : So I'll start with your last question first, Don, because that's the important one from our perspective. Positive free cash flow is still very much on track for midyear. And what you can think about in terms of the impact on production is, we were essentially swapping Q4 of this year for Q1 of next year. It really is just that simple. 4 weeks that we were going to take in quarter 4, we're going to take in quarter 1. The rest of the mine plan is on track for Media Luna. Development is occurring quite aggressively. We hit another new record in October in Media Luna. So feeling very comfortable with that. And the process plant ramp-up schedule remains unchanged. It just has a different start date. Yes. I would add 1 more point. We talked about the potential for shaving off a couple of days on the 4 weeks. What happens with having that additional time in December, it's a long shutdown. It's 80 hours in December. So Dave and the project team have additional time to test other systems, which will further derisk that ramp-up. So we haven't shortened the ramp-up period at the process plant, but we're more comfortable about it than we would have been if we had taken the tie-in period in November of this year.
Don DeMarco : Okay. Great. Well, maybe I'll just add another question too then. I mean with regard to the tie-in, I mean, there was a number of factors, hurricane season, supply chain interruptions, vendor deliveries for the switchgear. I mean we're all happy to see the production in 2024 go up. But why February in particular, couldn't you have done it in, say, January? And when do you expect to receive the switchgear? Like looking at those reasons for the deferral, is there any time risk on receiving the switchgear?
Jody Kuzenko : Yes. What I will say, Don, and 1 of the things we're most delighted about is that risk associated with taking delivery of the electrical equipment is now behind us. We have everything we need to do the tie-ins. So it's down to over the next 3 months, our team to execute on the final construction and wiring plan essentially, connecting the cables to the electrical. And I mean, could we have done it in January? Could we do it late January, early February? We're talking a shift of a matter of days here now as we did the detailed review of the project schedule, particularly given contractor schedules over that late December, early January holiday period. We wanted to make sure that we gave ourselves enough time to do it. It may end up coming in a couple of days earlier. It won't change the impact of Q1.
Don DeMarco: Okay. And good to hear that free cash flow is on track.
Operator: [Operator Instructions] And our next question today will come from Jeremy Hoy with Canaccord.
Jeremy Hoy : Jody, Andrew, Dan and Dave, I think I'd like to touch on the new Mexican administration. I know it's still early days, but Sheinbaum has now been in office for a few months. Could you comment on whether you've seen any developments or if level of discussions with her administration have increased, whether you're still feeling cautiously optimistic or if there's any changes in your viewpoint on the new administration's relationship with the mining industry?
Jody Kuzenko : Yes. Jeremy, I'll take that one. I think that cautious optimism continues to remain the description as I think about the Sheinbaum administration. Developments post-election and pre-inauguration, while Claudia Sheinbaum was President-elect, were such that we were able to set up a number of meetings with her new administration. And post her inauguration, we've also had a number of meetings with new subsecretaries who are assigned to the mining file. Now what I would describe is that those discussions have been productive, less political, more factual, clear administrative goals or administration goals on infrastructure, clear administration goals on direct foreign investment. Both of those tie nicely into the need for amplifying mining in the country. I would say decisions have not yet been made about things that are important to the industry, the mining law reform, new concessions, the open pit mining ban. The important part is that they haven't been made to the negative, and we're still talking. And so, cautious optimism, I think, continues to be an appropriate description for the Sheinbaum administration.
Operator: And our next question today will come from Eric Winmill with Scotiabank.
Eric Winmill : Just quickly on the stockpiles. Nice to see the balance growing here. Is it fair to say some of that growth is from Media Luna development ore? Or any comments there in terms of Media Luna?
Jody Kuzenko : Yes. Some of that growth, Eric, is attributed to Media Luna development ore. We have about 120,000 tonnes on stock today, and that stockpile will just continue to grow. And once we commission the Guajes Tunnel conveyor, which is coming up here imminently, that stockpile will grow faster. The idea for us as we're commissioning the flotation circuits, we want to have a good stream of Media Luna feed so we can get all of the balances and all of the work done on our metallurgy to derisk that ramp-up of the flotation circuits.
Eric Winmill: Okay. Fantastic. Maybe just another 1 on EPO. I know you said you're looking to do the feasibility by middle of next year. Will that be released to the public, do you think? Or what do you expect to be able to provide, I guess, in terms of EPO?
Jody Kuzenko : Yes. We'll do something similar that we did to the PFS, Eric. I mean, it will be an internal feasibility study. It is not a complex mine. It's not a complex addition to Media Luna. So we will not do a full [NI 43-101]. Our technical team is fully focused on completing Media Luna on the schedule identified and putting the finishing touches so that we're satisfied that we have the appropriate plan to start to build out EPO.
Eric Winmill: Okay. Great. Maybe just lastly, on M&A, obviously, I know it's always a topical subject. Anything there? I mean, in the past, you've said that you would look accretive deals, possibly development assets in Mexico. Anything we should be thinking about that on the M&A side?
Jody Kuzenko : Nothing's really changed, Eric. We're still doing the work, and we're committed to doing the right deal at the right time that will create value for our shareholders.
Operator: Since there appear to be no further questions, this will conclude today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.